Operator: Good morning. My name is Christie and I will be your conference facilitator. At this time, I would like to welcome everyone to the BorgWarner 2012 Third Quarter Results Earnings Conference Call. All lines have been placed on-mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer period. (Operator Instructions) I would now like to turn the call over to Ken Lamb, Director, Investor Relations. Mr. Lamb, you may begin your conference.
Ken Lamb: Thanks Christie. Good morning and thank you all for joining us. We issued our earnings release this morning at approximately 7:30 a.m. Eastern Time. It's posted on our website, borgwarner.com, on our homepage. A replay of today's conference call will be available through November 7th. The dial-in number for that replay is 800-642-1687. You’ll need the conference ID, which is, 37209257. The replay will also be available on our website. With regards to our Investor Relations calendar, we will be attending a number of conferences between now and the end of the year. November 6th, we’ll be at the Baird Industrial Conference in Chicago. This is also the day we plan to announce our 2013 through 2015 backlog of net new business. November 8th, we will be at the Morningstar Management Behind the Moat Conference in Chicago. November 14th, we will be at the Barclays Global Automotive Conference in New York and on December 6th we will be at the Goldman Sachs Global Automotive Conference in London. Before we begin, I need to inform you that during this call, we may make forward-looking statements which involve risks and uncertainties as detailed on our 10-K. Our actual results may differ significantly from the matters discussed today. Now moving on to our results, Tim Manganello, Chairman and CEO, will comment on the third quarter and current industry trends. And then Ron Hundzinski, CFO, will discuss the details of our operating results and also our outlook for the remainder of 2012. Also for the Q&A portion of the call, we have James Verrier, President and Chief Operating Officer With that, I'll turn the call over to Tim.
Tim Manganello: Thank you, Ken, and good day, everyone. Today, I am pleased to review our third quarter results, as well as our third quarter accomplishments. First, our third quarter results. Reported sales were $1.7 billion, down 5% from the same period last year. However, foreign currencies were working against us during the quarter. On a comparable basis, excluding currency and the 2011 dispositions, BorgWarner sales were up 2%. U.S. GAAP earnings were $0.85 per share, but excluding non-comparable items, our earnings were $1.19 per share. Our reported operating income margin was 9.6%, but excluding the impact of non-comparable items, our operating income margin was 11.3%, up from 11.1% a year ago. This is outstanding margin performance in a challenging market. Two key factors drove our results. Sales were down due to a weak global economy, most notably Europe and our operating margin improved due to operating efficiencies and cost controls. In the Engine Group, third quarter sales were about $1.2 billion, however excluding currency and 2011 dispositions, sales were about $1.3 billion or up 1%. Sales growth in Engine Timing Systems in Asia and light vehicle turbochargers in Asia and North America were offset by weak market conditions in Europe. The Drivetrain Group also performed well in the quarter. Sales were about $534 million, up slightly from the third quarter 2011. Excluding currencies, sales were up 5%. Drivetrain’s growth in the quarter was due to solid growth in all-wheel drive sales around the world, primarily in North America. BorgWarner also continues to reinvest in our business. Our near-term capital spending plan includes increased capacity for dual-clutch transmission modules in Europe, Engine Timing Systems in Asia, transfer cases in North America and turbochargers all over the world. For the quarter, we spend about 6% of sales on CapEx and we continue to invest in technology, which is the life blood of our company. We spend about 3.8% of sales on R&D in the quarter. I am also proud to review some exciting announcements we made during the quarter. Three BorgWarner technologies had been named finalist in the prestigious Automotive News PACE competition. We are proud of our winning record and pleased to have our technologies in the final competition once again. BorgWarner is supplying our EGR technology to new markets; the MTU diesel engines used to power locomotives, mining equipment and pumps for the oil and gas industry are equipped with BorgWarner EGR coolers to reduce NOx emissions. BorgWarner’s unique Cam Torque Actuated device with mid-position lock helps the 2012 Subaru Impreza offer a 30% better fuel economy compared with the previous model. BorgWarner’s Turbo Systems received the Porsche Supplier of the Year Award. The honor was given for quality, reliability and our partnership with Porsche in developing the world’s first mass produced variable turbine geometry turbocharger for gasoline engines. BorgWarner recently finalized the sale of its spark plug business which was a part of the BERU acquisition. Sales were approximately $80 million in 2011 and this will allow us to continue our focus on expanding BERU’s core product lines which include glow plugs, diesel cold start systems and other gasoline ignition systems including EcoFlash. Now let’s take a look at our current outlook for 2012 light vehicle production. In North America, our outlook has improved. We now expect year-over-year growth of above 5% for the fourth quarter, up a few percentage points from our pervious outlook; strong year-to-date sales, better credit conditions and healthy inventory levels have improved our outlook. Japanese OEMs in North America continue to replenish their inventory and this is driving a significant portion of this year’s growth in North America. Our outlook for Europe has weakened. The economic slowdown that has impacted Southern Europe has now spread to Northern Europe. As a result, we saw steep schedule cuts across Europe in the third quarter and in the fourth quarter. Previously, we expected light vehicle volumes to decline about 5% in the fourth quarter, we now expect volumes to be down around 13% and much of the change in our outlook is due to the volume declines in high end vehicles. These high end vehicles tend to have more BorgWarner content than the lower end vehicles. We also expect slower light vehicle production growth in China for the remainder of the year. Previously, we expected growth of merely 10% in the fourth quarter of 2012. We now expect growth in China of around 5%. Our outlook for the commercial truck market has also weakened. In all four markets where we compete, Europe, North America, Brazil and China projected volumes for the fourth quarter have decreased. We still expect growth in North America for 2012, but this is down from our July projection. The other three markets are expected to contract. Finally, let’s review our updated sales and earnings guidance. Our sales growth in 2012 is now expected to be zero to plus 1% compared with our previous guidance of 4% to 6% growth. Excluding currency, our sales growth is now expected to be 5% to 6% compared with our previous guidance of 9% to 11%. A lead change in our sales guidance is due to the broadening global economic slowdown especially in Europe and its impact on the automotive industry. Despite this, we expect our sales growth to outperform the market this year on a comparable basis. And Ron, will provide details about our performance relative to the market in a few minutes. Our 2012 earnings guidance excluding non-comparable items is now $4.90 to $5 per share, down from $5.05 to $5.25 per share previously. This change is due to our expectation of lower sales and again Ron will explain that shortly. We are on track towards achieving our targeted full year operating margin of 11.5% or better, having posted 11.9% excluding non-comparable items in the first nine months of this year. Now in conclusion we have lowered our expectations for the remainder of the year in light of the broadening global economic slowdown and its impact on the automotive industry. Despite these headwinds, our company is operating at a very high level. Our expected operating margin of 11.5% or better excluding non-comparable items will be an all time record high for BorgWarner. And the new EPS guidance also represents an all time record year for BorgWarner with an increase of 10% to 12% over our 2011 EPS. No company in the auto sector is better positioned to absorb short term market fluctuations and to deliver long term profitable growth than BorgWarner. Our confidence is based on our proven business strategy. We see field cost continuing to trend higher. The regulatory environment continues to become more stringent and drivers continue to demand better performance. BorgWarner’s focus on advanced technologies to improve fuel economy, reduce emissions and enhance vehicle performance is right on target. And we expect strong demand for our products to continue for many years to come. Our technology leadership, strong global presence, financial discipline and our focus on attracting and maintaining a talented work force had been the keys to BorgWarner’s long term success. I feel very good about the company's future and so should our shareholders. And now I would like to turn the meeting over to Ron.
Ron Hundzinski: Thank you Tim and good day everyone. Before I begin reviewing the financials, I would like to put BorgWarner’s performance into perspective within the broader auto industry. Global light vehicle production was up 2% in the third quarter compared with the same quarter last year. BorgWarner’s reported sales were down 5% from a year ago. As Tim explained earlier, if we exclude the impact of foreign currencies and M&A activity in 2011, our sales were up 2% in the quarter. To get a clear picture of our performance relative to the market, we need to review light vehicle and commercial vehicle market separately. First let's take a closer look at the light vehicle market from a regional perspective. In Asia which I'm defining as China, Korea and Japan, light vehicle production was up 2%. Our light vehicle sales in Asia excluding currency were up 15%. In Europe, light vehicle production was down between 6% and 9% depending on the source. Our light vehicle sales excluding currency in 2011 disposals were flat. In North America, light vehicle production was up 12%. As Tim said earlier, Japanese vehicle manufacturers continued to replenish their inventories in North America. This activity drove much of the volume growth in North America in the third quarter. Our light vehicle sales growth in North America was about 12% in line with the market. However, excluding (inaudible) the Tsunami related inventory replenishment, we outperformed the North American light vehicle market as well. Now, lets review the commercial vehicle market. The third quarter saw continued weakness in commercial vehicle markets around the world, with exception of North America, which was basically flat. Each of our commercial vehicle markets experienced double-digit production volume declines. As a result, our commercial vehicle sales were down 10% in the quarter. Let me summarize this. Our typical out performance of the light vehicle markets was intact in the third quarter, despite outperforming the market in Europe at 6% to 9% volume decline in that market had an oversize impact on BorgWarner. The European light vehicle market represent nearly half of our sales, but less than quarter of a global light vehicle production market. Also weak commercial vehicle markets around the world resulted in a 10% sales decline for us in the segment, representing nearly 20% of our business. Alright, let me go to the income statement. Working down the income statement, gross profit as a percentage of sales was 20.3% for the quarter, that’s up from 19.6% a year ago despite about 5 million in higher raw material prices. SG&A expenses were 8.9% of sales in the quarter versus 8.5% of sales in the third quarter last year. The increase was due to an increase in R&D spending, which as a percentage of sales was 3.8% in the quarter, up 50 basis points from a year ago. Reported operating income in the quarter was a 163 million. However, this includes disposal and restructuring expenses associated with the sale of our Spark Plug business. You may recall that in the second quarter, we signed a master purchase agreement for the disposal of the business and wrote down 38 million of prior purchase accounting adjustments relating to spark plug business. In the third quarter, we incurred an additional 28 million of restructuring related costs associated with the asset disposal and future requirements of the BERU ongoing business. Of the 67 million, total charge taken over the two quarters, only about 20 million will be cash payments, primarily related to severance cost. Most of this cash will be spent in the next two quarters although there may be some minor payments that extent beyond that period. We estimate that our savings also primarily related to severance will be about [$30 million] per year or about a year and a half payback period. The $29 million charge taken this quarter and shows up another income expense line item of our income statement. Excluding the charge, operating income was a 192 million or 11.3% of sales compared with a 199 million or 11.1% of sales on a comparable basis a year ago. The 11.3% operating income margin is a new third quarter record for the company, after excluding the impact of foreign currency in non-comparable items in both this quarter and the third quarter of 2011, our incremental margin was about 17% in the quarter which reflects outstanding cost control in a very challenging sales environment. As you look further down to income statement, equity and affiliate earnings was 11 million down slightly from 12 million last year. This represents the performance of NSK-Warner, our 50-50 joint venture in Japan, which sells transmission components to our Japanese customers in Japan and China, as well as TEL, our turbocharger joint venture in India. Interest expense and finance charges were $5 million in the quarter, down from $19 million a year ago. This was primarily due to the maturity of our convertible debt settled with treasury shares in mid-April. Note that this reduction in convertible related interest expense did not impact earnings per share. We have been calculating EPS on an if-converted basis from the first quarter of 2010 until the securities matured in mid-April. Provision for income taxes was $64 million in the quarter, which is a 38% effective tax rate, however the provision includes a few items were noting here. There was an $8 million tax benefit related to the restructuring activities, there is a $7 million tax expenses related to the closure of certain tax audits in the period and then $11 million tax expense due to capital gain on the assets disposals that we discussed earlier. The net impact of all these items is $10 million increased in tax expense. Excluding these discreet items, our tax expense was $54 million in the quarter or a run rate effective tax rate of 27%. Net earnings attributable to non-controlling interest was $4.8 million in the quarter, down slightly from $5.1 million a year ago. This line item reflects our minority partners share in earnings performance of our Korean and Chinese consolidated joint ventures. This brings us back to net earnings, which were a $101 million in the quarter, or $0.85 per share, on a reported basis. On a comparable basis, net earnings were $141 million in the quarter, or $1.19 per share, up from $1.15 per share a year ago. That's a 4% earnings growth rate on a 5% declined on reported sales. Very strong performance for the company. Also note that foreign currency reduced earnings per share by about $0.08 in the quarter. Now let's take a closer look at our operating groups. Engine group sales were $1.2 billion in the quarter, excluding currency in 2011 dispositions, Engine Group sales were up 1% compared with the third quarter of 2011. We are seeing good growth in engine timing including VCT in Asia and light vehicle turbochargers in Asia and North America. However, the slowdown in light vehicle production in Europe and in the commercial vehicle markets around the globe offset much of that growth. Adjusted EBIT for the engine group was $184 million in the quarter or 15.8% of sales. That's a significant improvement from the 15% adjusted EBIT margin we reported a year ago. The year-over-year incremental margin excluding currency and in 2011 dispositions was over 40% in outstanding operational performance by the Engine Group. In the Drivetrain Group sales were $534 million in the quarter, excluding currency Drivetrain Group sales were up 5% compared with the third quarter of 2011, strong all-wheel-drive system sales around the world but primarily in North America were the key growth driver in the quarter. On a reported basis, adjusted EBIT was $44 million or 8.3% of sales. This is up 20 basis points from the third quarter of 2011. The year-over-year incremental margin for the Drivetrain Group excluding currency was 9%. While this appears to be under performance to our BorgWarner standards, the year-over-year variances were very small. A $2 million improvement in operating income over $25 million improvement in sales is very small change in the business can have an outsized impact in the calculation when the numbers are that small. The Group’s EBIT margin for the first nine months of this year was 9.2%. This is a good indicator that we are still on track for the Drivetrain Group to achieve an EBIT margin of 9% or better this year. If you look at the balance sheet and cash flow, we generated about $543 million of net cash from operating activities in the first nine months of 2012. This is up $70 million from the first nine months of 2011. Capital spending was $283 million for the first nine months of 2012, up $9 million from the same period a year ago. Our capital spending is required to support our program launches around the world particularly in Asia, South America, Eastern Europe and Mexico. Free cash flow during the period which we define as net cash from operating activities less capital spending including tooling was $260 million. Looking at the balance sheet itself, balance sheet that decreased by $226 million compared with the end of 2011. Cash increased by $262 million during the same period. This $488 million decrease in net debt was primarily due to net cash provided by operating activities and the maturity of our convertible debt partially offset by share repurchases in the first and second quarters. At the end of the third quarter, our net debt-to-capital ratio was 14.3% compared to 28.3% at the end of 2011. Net debt-to-EBITDA at the end of third quarter of 2012 on a trailing 12 months basis was 0.4 times. Our capital structure remains in excellent shape. Okay, I will go to the 2012 guidance now. Due to weaker global economic conditions particularly in Europe and its impact on automotive industry, our sales guidance has come down. We now expect sales to grow from 0% to 1% in 2012, compared with our previous guidance of 4% to 6%. If you do the math, our full-year guidance implies fourth quarter sales should be down 3% to 7% year-over-year. Excluding currency, our 2012 sales growth is now expected to be 5% to 6% compared with our previous guidance of 9% to 11%. We now expect our full-year earnings to be within a range of $4.90 to $5.00 per diluted share compared with our previous guidance of $5.05 to $5.25 per diluted share. The lower EPS guidance is directly resulted of our lower sales guidance. From a margin perspective, we still expect to achieve our operating margin of better than 11.5% for the full-year. Our operating margin of 11.9% in the first nine months of the year is a solid indicator that we're on track to meet that goal. We have tightened the range on net cash provided from operating activities to $900 million to $950 million, within the previous range of $900 million to $1 billion. Capital spending is now expected to be within a range of $400 million to $450 million, down from $450 million to $500 million previously. Free cash flow which we define as net cash provided by operating activities less capital spending is expected to be about $500 million this year. The tax rate remains at 27% and the return on invested capital is still expected to be greater than 20%. Our year-over-year incremental margin for 2012 is complicated by the projected sales decline in the fourth quarter. Year-to-date, our incremental margin was about 24%. In the fourth quarter, we are targeting a decremental margin in that same range. We still believe that the impact of higher raw material costs will be in the $25 million to $30 million in 2012. As we stated all year, we will absorb and manage our inflationary costs including raw materials. We will not (inaudible) to have a material impact on earnings expectations for the year. So in conclusion, our operating margin and earnings per share in the third quarter on a comparable basis were third quarter records for the company. Operationally, the company continues to perform at a high level in a very challenging environment for growth. Weakening market conditions have resulted in a lower outlook of sales growth and earnings growth in 2012. However, we expect 2012 to be another year of record margins and record profits for BorgWarner. Tim talked about confidence in their strategy over the long-term, but we are equally confident in our execution over the short-term. This company has demonstrated a heightened focus on efficiency and cost control since the 2009 recession. This focus resulted in a highly efficient growth and record margins in 2010 and 2011 and despite the 2012 being a challenging year from a growth perspective we expect to achieve record margins again. Over the long-term, we intend to execute our growth strategy and over the short-term remain focused on efficiency regardless of the direction of the market. With that, I would like to turn the call back over to Ken.
Ken Lamb: Thanks Ron. Now let’s move to the Q&A portion of the call. Ron Hundzinski and James Verrier will be taking your questions. I would ask the call coordinator to please announce the Q&A procedure.
Operator:  (Operator Instructions) Your first question comes from Rich Kwas from Wells Fargo Securities. Your line is open.
Rich Kwas - Wells Fargo Securities: I guess Ron, or James. Could you give us a just a feel for what you seeing are right now in Europe, you took the production down 13% for the fourth quarter that may not be as conservative as what we extend from other supplier that are thinking it could be on 15% or more. How confident are you in the 13% number and then it looks like first quarter looks to be something similar in terms of a decline for next year at least according to [IHS]? What do you see, you are seeing any signs of stabilization right now or is this kind of still job that cuts it still and then there are still risks to it?
James Verrier: Rich, this is James. Let me talk probably about the fourth quarter more than the first quarter. I think candidly we need a little more time to really get a better view of the first quarter; we are trying to work away through the fourth quarter. In terms of the 13% number for the fourth quarter, we feel pretty comfortable with that number, the risk to it frankly is the month of December, that's the element that makes it a little challenging in terms of what the customers will do as they comes to close out at the end of the year. But as we sit here today and we look at the schedules and we talk to the customers, we look at our actual run rates in the third quarter and we look the projective run rate of actual through the month of October, that gives us frankly more confident and confidence around the 13% number, but could it be a percent or so either side of that, absolutely that's the possible Rich. I think as Ron, alluded to though, if it is a little different to that 13% we feel very comfortable and confident in our ability to execute against that if there is a slight shift. So that, if that helps you, that’s kind of the view that we’re seeing right now.
Rich Kwas - Wells Fargo Securities: And then your temporary workforce there is much higher than it four or five years right, so are you starting to take, try to take advantage of that right now, I assume you are but, what’s the status of that?
Tim Manganello: Yeah, let me give some color on that Rich. In the earlier part of the year, let's say the first half of the year, our temporary employees as a percentage of our total direct work force was probably in the mid 20% range which as you point out is very much higher than where we were a number of years ago, which was very intentional strategy on our part. As we've worked through the third quarter that number’s come down a little, so we are probably in the 20% range as we operated in the third quarter. And based on the production outlook and the schedules we seek for the fourth quarter, we are probably going to end up around approximately about 10% number as we come towards the end of the fourth quarter. So we've used that flexibility to deliver the type of performance that we've shown. In addition Rich to we also used a little bit of a reduction in the actual work week from the six days down to five in some of our facilities.
Rich Kwas - Wells Fargo Securities: And then just a broader question, acquisitions, what do you think out there in terms of pricing and the types of property that you are interested in and any change or any thought on that front would be helpful? Thanks.
Tim Manganello: Rich we continue to look very aggressively and I think consistent with what we've said in the past, our clear focus is to look for technology leading companies and companies with growth and that's really been our focus and it continues to be our focus. And I think just as we've said in the past Rich we have a number of targets that we are continuing to work hard on, to try and bring one or more of those over the line. It will stay in the areas that we are in, adjacent areas of Engine and Drivetrain. There's quite a number of them and we continue to be pretty aggressive in our search for bringing one of those home.
Operator: Your next question comes from the line of Brett Hoselton from KeyBanc Capital.
Brett Hoselton - KeyBanc Capital: If I did my math correctly, I mean I have, to get to the $1.19 I'm using net interest expense of $4 million and that's lower than we would have anticipated. And I guess my question is on a run rate basis, where would you expect your kind of net interest expense to be?
Ron Hundzinski: Yeah, Brett, the way I think it’s about $5 million actually I have net interest. We had a couple of things in the quarter that was favorable; we have an interest rate swap that actually went favorable on us as well. So I don't think we are going to stay at that rate of $5 million interest expense going forward. I think mark-to-market on that cross interest rate swap will come back. So I would go more back to the second quarter and then maybe adjust for the convertible on a run rate basis going forward. Okay.
Brett Hoselton - KeyBanc Capital: And then as you think about the restructuring, the savings of $13 million per year, can you characterize the timing of that; I mean you've just announced the program, is that something you expect to achieve in 2013 or should we blend that into 2014 as well?
Ron Hundzinski: I'm expecting to start seeing those benefits in 2013; because the way the program works as those employees should be out of our facilities fairly soon here which means I won't have that cost going forward.
Brett Hoselton - KeyBanc Capital: I guess my question is, would you expect to achieve the full $13 million in 2013 or would you only achieve maybe half of that in 2013 and the remaining portion of it in 2014?
Ron Hundzinski: Well, I would like to see it all, but I'm working with a works council in another country that I am sure I will see some deterioration in that $13 million, so maybe half or something like that for next year.
Brett Hoselton - KeyBanc Capital: And then as we think about the backlog, you’ll normally make an announcement, I think somewhere in that at the end of November, but can you talk a little bit about, one, when you plan on making a backlog announcement? And then two, it sounds like from previous comments, the bidding activities been pretty robust, but obviously production has been lower and so can you talk about when, can you talk about the robustness of the bidding activity and then can you talk a little bit about maybe some variations in production expectations versus last year?
James Verrier: Yeah, Brad, this is James. So in terms of when we will announce it, it’s next week at the Baird Conference. So that’s next Tuesday. So we will be announcing it and taking you guys through the details next Tuesday. So I don’t want to comment obviously prior to that, but we're working very hard. Kenny is doing his magical work as ever. So we will be ready next Tuesday to give you an update. In terms of the quoting and bidding activity, it remains very strong for us as we look at how this year is stacking up with prior years. We're very pleased where we see our activity year-to-date. And I would say, it's healthy across the different product lines and it's pretty healthy across the regions. Now, we're just going through the process of calculating that and putting it into the appropriate models and that’s what we will bring to the meeting next Tuesday, Brett.
Operator: Your next question comes from the line Itay Michaeli from Citi. Your line is now open.
Itay Michaeli - Citi: I wanted to talk about the fourth quarter walk sequentially on margin; typically the fourth quarter is a higher margin quarter than the third quarter; I think that’s been typical even in the quarters in the past where revenue has been flattish sequentially. It looks like from new guidance you may be assuming you’re kind of flat to even down margin sequentially. So can you help us out in terms of the walk is anything different that’s occurring this year versus prior years from a seasonal perspective?
Ron Hundzinski: The only thing I would say is that on the gross profit margin I expect us to have the same performance we have had. I would say that we are probably deleveraging a little bit on SG&A because of R&D spend, that’s probably where our focus is which your walk issue is right now. We continue to invest in R&D and that’s going to have a little bit deleveraging in SG&A.
Itay Michaeli - Citi: Great Ron and then you mentioned I believe if I heard correctly is that you are expecting lower CapEx this year. Can you talk a little bit by what’s driving that, may be talk to any additional deferrals you may be seeing in the backlog and then how should we think about CapEx may be in the next couple of years relative to revenue?
Ron Hundzinski: Yeah Itay, I thought I would get that question. I want to be clear, it’s not related to cancellations of programs, what it is it’s just the spending rates not where we thought it was going to be when we took a look. The programs are still in place it’s just that the pace we are putting it on is not at the same pace we thought in the middle part of the year. As far as your view going forward, I would expect the spend at the same rate of percentage of sales that we have done in the past and no significant change in that area.
Itay Michaeli - Citi: Great and then just lastly given that the macro pressure as everyone is seeing, how are you guys thinking, how confident are you around BorgWarner’s ability to outgrow the market 8% to 10% per year going forward; should we expect may be a bit of a low in that outperformance given the macro pressures and your overweight in the European region, are you still fairly comfortable you can deliver that type of growth in the next couple of years?
James Verrier: Yeah Itay, this is James, all right. Let me start with maybe the basic thing. We are very comfortable and very confident about the story of BorgWarner. If you think about it over the long term, nothing has changed fundamentally, the need for greater fuel economy, better emissions and better performance all of those needs are still strong and very, very strong and BorgWarner has the products for that. So the fundamentals Itay of the story are absolutely solid and we feel very, very comfortable in that technology and our ability to drive that growth. Really the detail of what the next the two or three looks like, we will get a better looks as we puts together the net new booking business. A little more than half of that business is in Europe, so that does weigh on us a little, as does the commercial vehicle business which is 15% of our business and that markets down a little bit. So there are some pressures on that, so I think as Ron, went through his breakdown of our performance growth is the markets; you will see some of that weighed on us in the fourth quarter and somewhat in the third quarter. So in the short term we are going to see some of those headwinds weighing on us a little bit from a outperformance versus the market, but we’ll still have growing in most regions and in most product lines, and fundamentally we think that’s absolutely we are going to continue on, but we will provide more data and more color on it next Tuesday when we do the net new book of business Itay.
Operator: Your next question comes from the line of Chris Ceraso from Credit Suisse. Your line is open.
Chris Ceraso - Credit Suisse: I was wondering if you could help me parch out the impact of weaker commercial volumes in the quarter, back at the envelope math, I am thinking revenues in dollars were down maybe $30 million year-to-year, tell me if I'm in the right neighborhood there, and if that's so what was the ballpark decremental margin on that, is it a higher decremental hit because it’s in the commercial market.
Ron Hundzinski: No. Decremental margin are in line with our normal decremental margins first of all Chris. The commercial vehicle market was down 10%. Our sales were down 10% in the commercial vehicle market in the quarter.
Chris Ceraso - Credit Suisse: Right, I was trying to translate that into dollars, is it around $30 million.
Ron Hundzinski: We figure its about almost 20% of our sales, we are down 10%. Okay, Chris, so 20%, almost 20% of our sales were down at $30 million to $35 million in that range.
Chris Ceraso - Credit Suisse: Can you give us an update on how much new business came on in the quarter and what you are expecting in terms of new business to come on-stream in the fourth quarter?
Ron Hundzinski: You know Chris that's a hard number for us to do. We typically look at the backlog on a linear perspective through the period. So basically period one or year one, two, and three is linear by $833 million what we've done in the past. Now as you go through the cycle of a given year, it’s not necessarily linear sometimes because the launches take place in the beginning of the summer right. I have to do some numbers and get back with you to crunch that over and get some numbers around that Chris. I don't have that handy in my head right now.
Chris Ceraso - Credit Suisse: And then just a last one maybe talk about the mix of business particularly in Europe. You know some of the markets where you have good diesel penetration were hit pretty hard, was the decline in the diesel mix a big problem for you in Q3 and then is that something that you think gets worse in Q4 or is it better or is it the same.
Tim Manganello: I think there were two major shifts if that's the right word Chris. One was I'll say the Northern European customers are in focused primarily on the German OEMs that really started to cut schedules at a faster rate than they had done earlier in the year, and there was still a little bit of further erosion with the Southern European guys. But the real story was the Northern European predominantly German OEMs really started to cut into the schedules. And then the other thing that we see that's an impact on BorgWarner is, what I call the high content costs, the higher value type vehicles which typical BorgWarner is a little biased to or weighted to because of technology. Those schedule cuts were quite significant in the end of the third quarter and the fourth quarter and a lot of those cuts had already been made in the smaller lower technology lower end vehicles. So those are the two fundamentals Chris that did it. It was less gasoline diesel mix, it was more vehicle content mix and Northern European Southern European shift. Does that help you out?
Operator: Your next question comes from the line of Patrick Archambault from Goldman Sachs.
Patrick Archambault - Goldman Sachs: I think you used to characterize your operating leverages being sort of if you out grew the industry by 8% to 10% that was what would allow you to see margin expansion at least whole margins. You know, clearly, I know I mean it's a bit difficult because you have the distortion of the commercial vehicle side, but it seems that your content growth was probably lower than that, across your end markets this quarter, yet you still managed to post a decent margin expansion year-on-year. So maybe you could just talk to us a little bit about that equation going forward, is that sort of need to outgrow the industry by that number, gone down just given your cost structure, given some of the leverage that you have been able to find. Just help us frame the margin expansion opportunity from this pretty high level here.
Tim Manganello: Sure, Patrick, the way we look at margin expansion is over the long run, not specific to a quarter-to-a quarter. Over the long run, we know that we need that growth to expand our margins. But bring it back to the quarter, I would just be honest, our operating guys have just done an outstanding job to ensure that we're managing the market right now and getting cost out of the plants on the short run and getting discretionary spending down, getting our labor cost in line and they are just doing a great job. They are outperforming themselves right now. Now, over the long run, that’s going to be difficult for them to do that. In the short run, they did a great job and I still hold that in the long run I need that 8% to 10% sales growth to expand my margins.
Patrick Archambault - Goldman Sachs: Okay, so you sort of revert back to the backlog obviously being the principal driver. One other one, kind of getting back in to the performance for this quarter; on page six of your release I think you said that incremental margins for engines was 40% which is indeed pretty big performance. Can you just give us a little bit more color what was behind that, because obviously Drivetrain was the one with some low hanging fruit but the engine conversion was obviously pretty phenomenal.
Ron Hundzinski: I said in the script about smaller numbers having a larger impact and that implies to the engine group as well as the Drivetrain. We could have in a given quarter a huge cost reduction program that really took effect the volumes came in as far as the cost reductions and had a big bump in our incremental margins. That could happen in a give quarter, because it’s not smooth throughout the year. Again I go back to the operating guys just really watching the business and executing on the operating front is what we are seeing in the quarter.
Operator: Your next question comes from the line of David Leiker from Robert W. Baird & Co. Your line is open.
Joe Vruwink - Robert W. Baird & Co.: This is Joe Vruwink on the line for David. If I just take the end market assumptions Tim mentioned and I weight them by your sales mix. I am coming out with a global volume assumption of let’s say down 6% in Q4, and if I compare that with where I think your organic growth guidance places you I think your organic growth guidance places you, I think you are looking for may be down 1%. So a type of margin, a down 5% is obviously below what you normally do and this quarter and may be saw a few percentage points. So can you may be touch on why that margin is below the normal 8% to 10%.
Ron Hundzinski: I think what you are not taking in to consideration is the mix in that change as well that James talked about a few minutes ago, which gets in to another dimension of calculation I guess is what I would say. So that’s the missing equation there for you.
Joe Vruwink - Robert W. Baird & Co.: May be just switching over an expense item; you said in the past that you expect your company to generally be in need of R&D around 4% of sales. I think the target for this year is so around 3.7%, while the 4% is line in with what you historically have done this year, obviously a much bigger company now where it is historically. So at some point, just see absolute level of R&D spending facilitate the growth ambitions you have and we might not actually need that get back to the 4% level?
Ron Hundzinski: I would at this point still and subscribe to the target of 4%. We struggled this year to get to the 4% in the early part of the year only because the sales grew in the first part. Our goal is still to continue to spend in R&D, at whatever levels appropriate and we currently still think that’s above 4% of our sales, I don't see a coming back on that at all at this point.
Joe Vruwink - Robert W. Baird & Co.: Okay.
James Verrier: Joe, this is James. I just add on what Ron, said and I fully agree with Ron. We have no intension to slowdown our R&D investment and growth rate. I think as we’ve disclosed in prior earnings calls, it’s been a challenge for us to get to that 4% rate because of our rapid sales growth. But when I look out there at the areas of opportunities that I see for technology development for this company, and how we can support the OEMs around the world, there is no reason for us to slowdown. We’ve got some phenomenal technology next generation technology that we are working on, it has been the happy that this company for long time and it will continue on. So we are going to drive aggressively to that 4%.
Joe Vruwink - Robert W. Baird & Co.: Okay, and then my last one. If I think about your acquisition strategy historically, I mean when you've made these big acquisitions you've also been growing in the normal level of out performance and so I think what we might not be seeing is that while the former version of BorgWarner maybe is having slowing growth the fact that you've acquired technology is then and are growing those and layering that into the business mix kind of keeps that 8% to 10% margin at that level and its been at that level for more than a decade. Now that margin is seemingly starting to maybe erode a little bit. So our acquisitions are a more important piece of hitting in the 8% to 10% out performance or are you confident with the technologies you have Dytech and Haldex acquisitions in the past few years that organically without acquisitions you can get back to your normal out performance margins?
Tim Manganello: Joe, the quick and simple answer is we expect and we believe by the way we will get the growth both from the organic piece of our company and from the acquisitions that we bring into the company. One of the things that we've talked about in the past where we are looking for companies so that we try to acquire, two critical elements that we need, one is technology and the other is the ability to grow, and obviously those two things go hand-in-hand. So if you look at the let me say the track record of the acquisitions that we bought in and integrated into the company, yeah, they performed very well and they have delivered on the growth targets and expectations that we had as well as the financial performance. But the organic or existing base part of the company is absolutely the same way. All of if you look across our business, all of our products are lined up for the growth rates to meet the fuel economy standards and the emissions performance that's out there. So we don't really differentiate between one carrying the other or one outweighing the other. You make a small variances year-to-year in a business unit or a product line, but in general the belief in the way we run the company is both organic and acquired companies. We are expecting to drive the double-digit growth rate.
Operator: The next question comes from the line of Rod Lache from Deutsche Bank. Your line is open.
Rod Lache - Deutsche Bank: I would like to follow-up on Patrick Archambault’s question on the 8% to 10% historical growth needed to maintain margin. The reason for that as you guys have explained it is you have to offset about $100 million of price and maybe $25 million or $30 million of [raws] and other content costs and $50 million of wages. Can you just speak broadly about as you look out to 2013, you are taking mitigating actions, you are taking short (inaudible) weeks and there's some restructuring. So as we look out in the future how might that 8% to 10% be modified, looking forward just from some of these actions that you are taking?
Ron Hundzinski: I don't expect, we run this business over the long run. We've always stated that and our stated goal is 8% to 10% over the long run. I would expect that, that same operating model to be in place over the next several years as well. Obviously, you are going to have quarters that are a little bit more narrow in growth and quarters that expand and I would just say that over a three year period that we still expect over that average of the three years period would still be in that 8% to 10% growth rate over a three year period. I mean, historically we haven't seen a flat market that long. It’s usually one, two three quarters and you start to get growth again.
Rod Lache - Deutsche Bank: Okay, but over a temporary, lets say, two or three quarter period of inventory destocking, should we be thinking about other mitigating factors that you might be taking?
Ron Hundzinski: We're going to manage this business on a day-to-day basis over a period of two quarters to three quarters and we are trying to get at the margin deterioration would happen in that period. We're going to be hard pressed to whole margins. There is no question. But I am confident, we have an operating group right now that understands this and is going to work everything, do everything they can right now to hold their margins.
Rod Lache - Deutsche Bank: Okay and I would like to ask also about the outlook for [NSK-1] or if you can just provide some commentary about that earnings contribution just given what’s been happening with the Japanese automakers and exposure to China through that, is that something that you would expect would be material or any thoughts broadly about how broadly we should be projecting that business for you?
Tim Manganello: No, I wouldn’t say its material. You are going to have couple of hundred thousand dollars changes here and stuff like that but I wouldn’t suspect it’s a material event for us.
Operator: Your next question comes from the line of John Murphy from Bank of America Merrill Lynch. Your line is open.
John Murphy - Bank of America Merrill Lynch: [Technical Difficulty]
Ken Lamb: Excuse me, John; we can’t hear you very clear.
John Murphy - Bank of America Merrill Lynch: Can you hear me now?
Tim Manganello: Yeah, that’s better, okay if you could start all over again.
John Murphy - Bank of America Merrill Lynch: Sure, you guys were highlighting, you know, the Germans are actually now seeing weakness with their production. I am just curious. As you look at the mix of their business, that shipped out to China and then shipped out to the US, two markets that remain relatively strong for sales and actually maybe improving as we go into next year. As we think about your content on those vehicles, can you sort of (inaudible) better or worse, where may be on a dollar basis or just directionally what those vehicles have versus what is actually being shipped into Europe?
James Verrier: John I would say the one way to look at it is Europe as a percentage of our total business is about 56% of our sales about 5% to 8% of our total sales go from out of that European content into North America or to China primarily. And I would say the content on those vehicles is relatively similar to what we would have in Europe, so that the vehicle mix at a different way John or the mix that we see in Europe how that helps us in our base European business is properly similar on that 5% to 8% of our business that gets exported out to predominantly China and the US. If that helps you out John .
John Murphy - Bank of America Merrill Lynch: Yeah, so the strength in China and the US will only be very small offset weakness in the Europe is sort of what I am getting at.
James Verrier: Yeah, it helps us a little bit yeah that’s a good assumption John.
John Murphy - Bank of America Merrill Lynch: Okay. And then also just in the longer term and we are slowly seeing the depth of the dream of the electric car here in many different avenues, it’s becoming more obvious it’s not a near-term phenomenon. I am just curious as that becomes more of a reality is like the slowing of that or the depth of that are you seeing more activity or more interest from some of the automakers that were really a big focus on electric vehicles and then shifting may be their long-term and may be short-term strategies?
Tim Manganello: The depth of the dreams and interest in price, John I have not heard that one before but what we are seeing and what we continue to see is somewhat of a reduced or demised focus on electric vehicle and more and more focus on the internal combustion engines type technology and hybrid technology and the type of transmission technology that we have always talked about. So we are seeing that activity very, very strong and I agree with you so we see less focus, less enthusiasm around full electric vehicle.
Operator: We have time for one final question and that question comes from Joseph Spak from RBC Capital Markets. Your line is now open.
Joseph Spak - RBC Capital Markets: I just wanted to quickly go back to the out performance in Europe, I just wanted to from a longer term perspective make sure I am thinking about this correctly, if we are to enter a period in Europe over the next three years, four years where it is flattish growth, can you still see enough content being added and penetration to get back to that 8% to 10% out performance in that region?
James Verrier: I would think about that, if I look it on, just look at this year today, so if you look at this year where we’ve seen some pretty, we are seeing some pretty significant reductions in Europe. Our out performance is straight through that. Will that change a couple of percentage points quarter-to-quarter that is very possible. We can't always say every quarter is going to be 8 to 10; those vehicle mix that things go on. But fundamentally, I look at this year, I look at a challenging quarter like the third quarter, I look at the fourth quarter, I look at the reductions that we are seeing in European schedules and out performance in Europe remains to outperform that. So that's how I am viewing it. I look more of what's happened and to give me confidence. So the short story is that I believe we will continue to outgrow, outperform Europe. Will that always be 8 to 10, will it be little less or little more, there always be some variability, but the fundamentals of our outperforming in Europe will continue on, is my view.
Joseph Spak - RBC Capital Markets: Okay and then moving onto the luxury where it is obviously a little bit of catch-up in destocking. Is it fair to assume that given that it is a smaller market than the volume market that the destocking could happen over quicker timeframe than what we have seen occur in the volume market?
James Verrier: Could it be quicker? That’s a good question, I am not really sure it would be quicker. I mean as you can see, you pointed to a smaller piece of the overall pie, so we have (inaudible) can adjust those schedules assignments I would say the high volume schedule. So I don't view it fundamentally in a different way, does that makes sense to you?
Joseph Spak - RBC Capital Markets: Okay. And then just one on housekeeping, others may miss this but are there any further buybacks factored into the outlook?
Ron Hundzinski: At this point no there is not.
Ken Lamb: I would like to thank you all for joining us. We expect to file our 10-Q before the end of the day which will provide details of our results. If you have any follow-up questions about our earnings release or matters discussed during this call or our 10-Q please direct them to me. Christie, please close out the call.
Operator: That does conclude the BorgWarner 2012 third quarter results earnings conference call. Thank you for joining. You may now disconnect.